Operator: Thank you for standing by, and welcome to the Coronado Global Resources Full Year Results Presentation. [Operator Instructions] I would like to now hand the conference over to Douglas Thompson, Managing Director and CEO. Douglas, please go ahead.
Douglas Thompson: Thank you, Andrew, and good morning, and thank you, everybody, for joining us for our full year results presentation. I'm Douglas Thompson, Managing Director and CEO, and I'm joined by our Group CFO, Barrie Van Der Merwe. Today, we'll take you through our performance, the transition journey that is underway across our portfolio and how these actions position us for a strong 2026. We'll also highlight the delivered projects, our liquidity improvements, and we'll talk about our guidance. But before we start, please note the important normal notices that need to be provided at these meetings. Today's presentation includes summary information, references to U.S. GAAP and non-GAAP measures and forward-looking statements subject to risks and uncertainties. We encourage investors to review the filings and the reconciliations provided in the appendix. 2025 was a year of execution. We advanced our strategy and delivered record production in the second half of the year, reduced our costs materially and completed key growth projects that set the company up for the future. Coronado is a leading global producer and has a full range of metallurgical coal products. Our portfolio of long-life assets provides leverage to high-growth steel markets, particularly India, supported by a diversified customer base across 5 continents. In 2025, we delivered major projects on time and on budget and materially improved our liquidity and reset our Stanwell arrangements to support long-term stability and cash generation. Coronado was founded in 2011, when our Chairman and major shareholder, EMG, set out to build a high-quality metallurgical coal company by targeting long-life, low-cost assets in low-risk jurisdictions. Their investment framework focused on product quality, operational efficiencies and inherent expansion potential. The reserve expansion at Curragh SRA and then Mammoth and Buchanan expansion projects are aligned to the strategy and have been delivered at far better than industry competitive capital intensity per tonne, adding significantly to the life of the portfolio since inception and enabling lower cost. All assets have repaid the original acquisition costs, and we've continued to focus on high-return capital allocation. Importantly to note is that, the returns provided $1.5 billion of dividend to shareholders. Margin expansion in 2026 is underpinned by the Mammoth Underground and the Buchanan expansion. The combined steady-state cost benefit is expected to be approximately $300 million per annum from these. With a total investment of $255 million, the weighted average payback is around 9 months for these projects. These already demonstrated returns clearly validate the strength of our investment decisions and the fact that the projects were delivered on time and on budget, and with exceptional payback underscores these projects and the team's performance. Beyond the delivered projects, we have an attractive pipeline across the Mammoth phases and Buchanan's CHPP capacity expansion and plus Curragh's Extensions with concept and -- from concept to execution pathways and disciplined capital. These projects comprise expansions and life extensions of our operations and are generally low capital intensity and expect to provide very quick paybacks. While we have a clear and attractive pipeline of growth, our near-term focus remains firmly on strengthening our liquidity, deleveraging through disciplined cash generation this year. Turning to Mammoth 2. This is a project that is in pre-execution phase, an underground bord and pillar expansion targeting first coal in 2028, with capital investment around $150 million and a payback roughly of 2 years. Costs are expected to be in the second quartile, which will further average down the group's overall cost. And the execution of Mammoth 2 mirrors the successful execution of Mammoth Phase 1 further south in the mine. We can also highlight that the coal quality remains strong and that the degas program is progressing well, showing encouraging signs of productivity while effectively managing coal seam gases. Since 2022, we have executed the One Curragh Plan and the U.S. Uplift Program, driving productivity gains and structural cost out. The average mining cost per tonne has decreased significantly and saleable production reached new heights in the second half of 2025. Operationally, we achieved approximately $100 million of cost savings from fleet reductions in 2024 and then a further $160 million of mining cost reductions in 2025. Dragline productivity has improved to be above 50% of total waste movements. And in the U.S., skip capacity increased by 45%, which has liberated our 2 longwall mines underground. Liquidity strengthened with a new covenant-light ABL, prepayment and critically, the Stanwell rebate is wavered in '26, which provides material uplift. I'll now hand over to Barrie to discuss our full year financial performance before we return to talk about guidance and some of our priorities for 2026.
Barend Van Der Merwe: Thank you, Douglas, and good day, everyone. In FY '25, we realized material benefits from the dedicated work of our teams over the last couple of years. In particular, I'd like to thank and commend Douglas for the work he did with the team over the last couple of years to set Coronado up for the future. Douglas, you're leaving a lasting legacy at Coronado, and we'll miss you very much once you leave us in the coming months. On Slide 12, the chart on the left shows how the momentum of the improvements built up over the course of last year and our production cost per tonne and CapEx changed half-on-half. At Curragh, we delivered material cost reductions and improved mining productivity, predictability and capacity with the bottleneck now shifting to the processing plants. The mine's inherent financial risk also reduced materially. The new Stanwell arrangement significantly lowers the cost base by removing the rebate and underpins financial sustainability in low liquidity periods through a coal prepayment facility. Curragh is highly leveraged to the coal price and is well set to capitalize on a rising coal price environment, while the Stanwell arrangement provides downside protection when price and cash levels come down. As Douglas said earlier, Buchanan is a quality, high-returning asset. The operation self-funded the recent expansion project and generated $74 million of EBITDA at a 15% margin in a very weak FY '25 market. With the debottlenecking of the materials handling system complete and a new longwall configuration ensuring mining continuity, Buchan is well set to capitalize on improved market conditions and generate cash in 2026. The completion of the expansion projects, together with the other operational improvements over the last couple of years, now firmly place our operations in the second cost quartile. Even in ramp-up phase and a lower gold price environment, the expansions generated $15 million of incremental operating mine cash flow before downstream costs and royalties. In FY '26, the CapEx spend is reducing materially and return to the normal sustaining CapEx range of around $150 million required for our installed capacity following the expansions. Across the business, ongoing cost management and discipline remain an important priority, with attention concentrated on the few major cost categories that drive the majority of our spend. We have been strengthening our commercial team, especially at Curragh, where contractors execute most of the mining and represent the largest portion of our spend. We're also in the market for the retendering of some of our mining service contracts with a view of improving our cost position. Turning to Slide 13 now to look at how our cash flows will be different in FY '26 when compared to FY '25. As I said earlier, being highly leveraged to the coal price and having the Stanwell protection when prices fall sets us up very well to capitalize on higher prices in FY '26. Compared to FY '25, without any price increase, there's up to $400 million of additional cash inflows. These are structural sustainable inflows that's driven by the reset of the Stanwell arrangement, our successful expansion projects and transformation work by Douglas and the team over the last couple of years. The rebate forgiveness in FY '26 will be for a full year, while the deferral of FY '25 was only for part of the year. And the prepayment from Stanwell can be higher than last year. This can add up to $150 million compared to FY '25. As we said many times, following the expansions, CapEx will be about $85 million lower. The expansions will add about $300 million at mine level, a $285 million increase on FY '25. We then have to pay royalties on the incremental revenue from the expansions, incur a bit of variable downstream processing and logistic costs for the additional volumes from the expansions. And then following FY '25, where there was a large focus on cash conservation, we have to spend some more money on sustaining mine development at Buchanan and Curragh. All up, all of these elements of cost will be about an additional $120 million as shown on the chart. So those are the structural sustainable increases. If you then turn to the bottom of the chart and look at the impact price can have on cash flows. at about $220 per tonne, which is about consensus compared to the $188 per tonne that we achieved as a PLV index in 2025, cash flow uplift from this is about $350 million. So the price impacts almost as much as the structural benefits that we have. Of this, about $0.30 of every dollar will have to be paid to the Queensland government as a royalty as we're now getting to that AUD 230 per tonne price threshold where the royalty steps up from 20% to 30%. At $250 per tonne PLV, that uplift increases to $700 million. And at that price level, the royalty will jump up to $0.40 of every dollar as a state royalty. Last thing to mention, if you think about our cash flows is that we do incur Curragh's operating cost in AUD and a $0.01 FX change over the course of the full year is about a $15 million cash flow impact. So at a high level, $0.01 FX for a year is about $1 per tonne on the group's cost. I'll now turn to Slide 14 for a brief overview of our position with Stanwell. As we said before, Curragh is critical to Queensland's energy system and economy, providing about 10% to 15% of the state's electricity as a baseload fuel source. Curragh's continued operation, therefore, remains a strategic priority for Queensland and the reset of Stanwell arrangement reflects this essential role. While the new arrangement provides permanent financial relief in the form of ceasing the export rebate that would have ended early 2027, it provides material coal prepayment facilities when the cash balance is below $250 million, having the cash flow effect of supplying thermal coal to Stanwell market prices. And the cash balance is above $250 million, Stanwell continues to be entitled to legacy discounts. And when the cash balance is above $300 million, Coronado provides free coal until such time as the previously provided prepayments are either repaid or the cash balance drops back below $300 million. Amounts prepaid remains contingent on the cash balance until the end of the company's life. The return for the liquidity support, Stanwell has rights to coal for longer and more nomination flexibility. The new arrangement includes the provision of an asset-based lending facility by Stanwell, who is now alongside our high-yield note holders, a major senior lender to Coronado and is thus even more aligned to our continued sustainability than before. The structure directly underpins Curragh's long-term viability, providing liquidity protection aligned with the cyclicality of the met coal market and our working capital needs. On Slide 15, we'll now discuss liquidity and the capital structure. As I said at the quarterly production report, no working capital levers were pulled at December 2025, and we have the full $173 million of cash available in the business. On top of this, we have approximately $100 million of other liquidity levers that could accelerate cash flow by 6 to 8 weeks providing adequate liquidity to manage working capital requirements through the planned low production March quarter. As of yesterday, our cash balance was almost the same as the cash balance at year-end. We would also expect our cash position in the March 2026 quarter to benefit from an index price that was about $15 per tonne higher in the December 2025 quarter than the September 2025 quarter. As and when credit ratings improve, we may be able to start clawing back some $70 million of cash from backing guarantees that became a requirement during FY '25. We continue to have no near-term debt maturities, and there are no maintenance covenants in the notes. The Stanwell ABL, endorsed by the Queensland government includes no EBITDA covenants until 2028. further supporting flexibility and availability of the facility. Once the EBITDA covenant kicks in, they are more favorable than market governs requiring gearing to be below 80%, while the market is usually around 30% and interest cover of 2x. Importantly, the notes traded up meaningfully, moving from 63% low in May 2025 to about 95% in February 2026, evidencing the material improvement in our credit quality. Pleasingly, the Financial Provisioning Scheme has also confirmed no requirement for us to provide surety, which was, in our view, the logical conclusion considering the extent of Stanwell, government-owned corporations financial support of Coronado and the requirement for Coronado to provide surety would have contradicted the support of stance from the rest of the state. It's important to note that the financial statements that we put out today are prepared on a going concern basis. There are not any substantial doubt about going concern as was the case and as was disclosed in the last couple of sets of quarterly financial statements. This is the result of the culmination of all the work the team had done over the last couple of months to improve our operations and financial position materially. On Slide 16, we will look at how we are thinking about balancing financial risk and returns going forward. As Douglas said earlier, since the IPO in 2018, we have returned approximately USD 1.5 billion to shareholders in dividends. That's a significant return of capital. The current exchange rate, this approximates AUD 2.1 billion, and it is testament to the quality of our asset portfolio. Following a period of optimization and expansion capital in a rising coal market, we are well set to generate cash. Having gone through a difficult financial period during which net debt peaked at $530 million, it brought liquidity to the forefront of our thinking, and that does take an important position in our capital allocation framework. Our first capital priority will therefore be to maintain adequate liquidity, which we estimate will be around $300 million, and it aligns well with the latest Stanwell transaction, which requires us to repay prepayments with free coal when cash exceeds $300 million. This repayment of Stanwell, together with cash built up on the balance sheet, reduces the net debt position and results in deleveraging of the balance sheet. By building some cash and deleveraging, we also reduced the company's financial risk profile and move enterprise value from the debt to the equity side of the ledger. This drives the share price higher. When available liquidity is around $400 million, funds can be allocated to some of the low capital intensity expansion and life extension projects that Douglas spoke about earlier. Note that both the amount and the tenure of the available liquidity will play a role in decision-making. These thresholds are not hard and fast and always under the Board's discretion depending on the business circumstances and market conditions. But serves as a broader rule of thumb on what can be expected in terms of our thinking on financial risk management and capital allocation. Debt reduction will continue to be achieved through building cash against gross debt, a strategy that simultaneously improves liquidity and drive deleveraging and refinancing will either be done at maturity of facilities or company circumstances and market conditions provide a window of opportunity to do so. Following a tough FY '25, we are well set for a much better FY '26. I'll now hand you back to Douglas to talk through priorities and the 2026 guidance. Thank you.
Douglas Thompson: If we go to Slide 17. In 2025, priorities focused on completing our expansions, improving reliability and positioning the business for the 2026 uplift that Barrie has described. And guidance frames a path to lower costs and stronger margins. For 2026, salable production guidance is 16 million to 17 million tonnes and mine cash cost per salable tonne produced is $88 to $96 a tonne and our capital expenditure is between $150 million and $175 million. This range reflects the uplift from Mammoth Underground and Buchanan Expansion, but is offset by about 2 million tonnes from the Logan reductions. Our 2026 framework delivers increased volumes at lower incremental cost, lower capital after the expansions, further optimization at Curragh and a liquidity structure that provides downside protection. We expect materially improved profitability and cash, and we have the optionality to progress Mammoth 2 when appropriate within the business. We've built a team who have the capacity and the resilience to deliver the 2026 plan and beyond that. And with that, I'll hand over to Andrew, and we'll take your questions.
Operator: Thank you, Douglas. [Operator Instructions] The first question comes from Daniel Roden from Jefferies.
Daniel Roden: I just want a really quick one for me, just on Mammoth. You noted the restart on the 18th of February. I guess with the '26 guidance, you're still assuming a full 2 million tonne run rate from that in '26. So I just wanted to clarify just that guidance take into account the period that Mammoth has been out of production for at the start of the year? And does that imply a stronger, I guess, higher than normal utilization average run rate for the rest of the year to make up that 2 million tonne guidance for 2026?
Douglas Thompson: Daniel, it does consider the unfortunate incident that we had at Mammoth at the beginning of the year. The impact is probably 1 month production. So it's 1/4 of the impact as we did report the team and the regulator worked very constructively together, and we found a way to bring the mine back into operations for business continuity and the ramp-up has progressed well to normal operations there. So that's the way in which we've taken that into the guidance. Likewise, with the severe weather with the cyclone that came through Curragh at the beginning of the year, we've considered that as well in our guidance consideration. So guidance reflects the operating performance of the business, as I think was demonstrated in the last probably 7 months of last year of $1 million a month reliably out of Curragh. Buchanan's ramp-up really in that December month showed what that system can do. So it considers that. And then it also considers the impact of those 2 events and then the volumes that we've taken up. Now remember, Logan has run for the first quarter of this year. We've issued WARN. So that production is in the guidance, and we've got contracts that we have to meet obligations on. So that is in the forecast as well. So it's got all those factors considered.
Daniel Roden: Yes. Awesome. And just on -- maybe a quick comment on, I guess, Phase 2 and 3. So I appreciate the details in, I guess, the pipeline of projects that you've got between Mammoth, Buchanan and Curragh. But just, I guess, on the Phase 2 and 3 specifically, how should we be thinking about, I guess, Curragh as a complex? You're obviously bringing in Phase 2 apps like with the degassing at the moment. It feels like that's kind of -- hasn't been board approved yet, but it appears like that's probably likely to happen. Do we think about Curragh as a complex as kind of decreasing open pit volumes and that's kind of being offset by bringing in these Phase 2 and 3 Mammoth kind of expansions? Or I guess, how do we think about the open pit volumes kind of being offset by those underground tonnes coming into the profile?
Douglas Thompson: In very broad strokes, you've defined it correctly. If you think of the life of the Curragh complex over the next 15 to 20 years, we've now spent the money, the effort to set it up again to be a productive dragline operation. So it's got 4 draglines. We've invested in the strike length and the pit geometry that now draglines move 50% of the waste. And that will continue on, particularly in the Northern mine where those would run long term as highly productive dragline mines, so large volume will come out of that. But as the stripping ratio gets deeper as all of the Bowen Basin, building the capability to be an underground miner and a successful underground miner as we've leveraged over the U.S. positions the business well to exploit the resource. And with Mammoth Phase 1 getting approved, we got Phase 2 and actually Phase 3 of that project approved that extends the life of Curragh. So underground, bord and pillar will be part of the long-term future of the operations. It averages down the cost. and it takes care of some of the stripping ratios at disadvantages that the older mines in the Bowen Basin will start facing. And that really sets us up well. We did take a BFS to the Board in December that was approved. But obviously, we'll only build that mine when it makes sense in the rest of the context of Curragh and will solve the market. As Barrie described quite carefully, our near-term focus is to deleverage with the cash generation we see in the near term. And then we'll make the right decisions with Board guidance on what we do. But Mammoth Phase 2 will be the near-term focus. And then Mammoth Phase 3. There's a twinkle in my eye with the research the team has done. There's potentially another underground mine in the South, but that will be much further down the line. So forming a large portion. So to be precise in answering your question, over time, the open cuts will play an integral base to the operations, but the undergrounds will provide you great flexibility and will start augmenting and replacing open cut higher costs. And the business will pivot this year from -- particularly now that we reset the Stanwell arrangements to focus on margin instead of incremental tonnes. We've got a great opportunity now at Curragh to drive for margin tonnes in the mining engineering and the way the business gets set up, which will provide a lot more flexibility in market cycles.
Daniel Roden: Yes. And just a quick follow-up, and you kind of touched on it and I'll hand over after. But I guess on thinking about the Phase 2, I guess, approval, how do you think about gating that against your liquidity constraints and I guess, covenants with Stanwell? Like are they going to be a supportive backer if you are, if I name this because you're going to have that CapEx in calendar year -- end of '26, calendar year '27. What's the liquidity profile for that to support $150 million investment into that expansion? And how do you judge that against Stanwell's kind of, I guess, conditionality?
Douglas Thompson: Well, Barrie, you go.
Barend Van Der Merwe: I mean, Daniel, I think that's where we try to give a bit of color on that capital allocation framework at the back, which I mean it's a bit conceptual, but I think it aligns well with Stanwell's call it, thinking on the business too. So when we put together this reset transaction with Stanwell, that $300 million liquidity or cash at bank level was defined as a place where they feel fairly comfortable with our sustainability, we feel fairly comfortable and that kind of anything above that then triggers us actually repaying them whatever they've prepaid to us. And so that's a bit of a watermark in terms of liquidity. As we say in that framework, I think when you get to total liquidity of adequate tenure, so it can't just be kind of short-term liquidity that gets to like a $400 million level, with a good outlook for the business. I think there'd be a comfort level to allocate capital towards something like this. Alternatively, the other option would be to try and find financing for something like Mammoth 2 on its own strength and see whether you can actually finance that separately as a project, if possible. So that's kind of the things we consider when we look at that investment and the timing of the Board approving it.
Operator: And your next question comes from Glyn Lawcock from Barrenjoey.
Glyn Lawcock: Just wanted to try and understand, Barrie, your comments. I think you said cash is still the same yesterday as it was at 31 December, which is great. Does that incorporate -- have you had any prepayments from Stanwell so far this year then? Because I'm just -- you're on about a 1 quarter lag. So I'm just wondering if you didn't have the Stanwell prepayments, could you still be cash flow positive this quarter?
Barend Van Der Merwe: Yes, yes, absolutely. I mean we -- so we've had a small bit of concessional support from Stanwell, but it's single-digit millions because it was only for January. And then obviously, didn't have the rebate for Jan. And so call it all up the Stanwell support year-to-date is probably USD 15 million. So even without that, we would have been in fairly good shape as we sit now.
Glyn Lawcock: Okay. Cool. So that prepayment of $100 million though on Slide 13, that is the prepayment that you think you would get if your cash stays below the $200 million mark. Is that's what the $100 million is? So you may not actually get the $100 million if you generate the cash and you move back up through $200 million, then you don't get any more. Is that right?
Barend Van Der Merwe: Correct. Yes. So that's the $170 million. So when you look at that graph, $170 million is the maximum prepayment if our liquidity stays below $200 million. And then the $100 million is the rebate forgiveness, Glyn. But your understanding is correct. If we stay below $200 million, then we can earn a $170 million prepayment during the year. That happens, tests every month, the cash balance.
Glyn Lawcock: Yes. But given your step-up in cash, once the price comes through in the second quarter, you should be able to maintain well above the $200 million, I would have thought.
Barend Van Der Merwe: Correct. Correct. So then between $200 million and $250 million, you get half of that prepayment. And then kind of above $250 million, you get nothing. above $300 million cash, you start repaying it. That's the beauty of the arrangement. It kind of as you can afford it, you repay it, but as you need the cash, you get it.
Glyn Lawcock: Yes. Okay. So a small amount of cash burn, but as you say, you've only got $15 million in from Stanwell, so that's about it for the quarter so far. Just an update on Logan. If you -- it looks like you will have made a decision already that it's not in your guidance other than 0.5 million tonnes. Is that correct? And is there still a chance that you could get pricing that sees it stay open? Or is it almost your expectation to fair to complete that it does shut?
Douglas Thompson: No. Glyn, the framework in the U.S. requires that you provide WARN and you've made a decision, which we have done, which gives our work for 60 days that we work through it with them in that period will be mining sufficient to honor our current contracted obligations. Some of it carry over from '25 pricing mechanism. But we are working on alternate sales and looking for options. So at this stage, we wanted to make the market aware of it. This is where we're up to. And then if opportunities do present themselves, we'll clearly exploit it. You know it better than most. I read your stuff, but you've seen the U.S. market structurally change. It's now forecasting a 4% reduction this year and potentially another 4% next year, but particularly around tariffs. We've seen product that traditionally from some of those very large longwalls that have spent a lot of capital in recent years go offshore and large volumes have pivoted back onshore and crowded out the market for that high-vol A and B type product. And our decision-making with the Board is strategically to ensure that the business is set up for high-quality margin and liquidity. But if the opportunity presents, we will find the right place to position it. The way in which we're working through the idle, just to be precise in my answer is to create that flexibility. Across the 4 underground mines, there is opportunity that we could keep some of them going in service Logan contracts, but we're not considering that at the moment.
Glyn Lawcock: Okay. So the guidance at the moment only has 0.5 million tonnes in for Logan pretty much?
Douglas Thompson: Yes, around about a little bit less than that.
Glyn Lawcock: Bit less. Okay. And then just a final one, maybe, Barrie, just obviously, CapEx sticks down to that $150 million to $175 million. In the absence of any growth spend like Mammoth 2, is that now the steady state for the business is running just a Buchanan and Curragh mindset?
Barend Van Der Merwe: Yes. I think for the new installed capacity, Glyn, you'd look at that around $150 million level. It can be up and down a bit year-on-year. But I think if you go with $150 million, you're pretty safe.
Operator: And your next question comes from Rob Stein from Macquarie.
Robert Stein: Just on that Slide 13, just looking at the business obviously looks set for a bit of an inflection point at $220 and just noting the management changes, is this to signal, I guess, a change that we've been through quite a tough period and now we're setting up the business to a new perspective, new growth perspective. Cost out has obviously been a focus. But if I look at the projects on offer, it looks like there is a bit of a future there for the business. Can you sort of talk about, I guess, the management change out in that context?
Douglas Thompson: Look, probably the first to say I want to say this key is I've signaled that I I'm moving on to other opportunities. This business has got a great future. You don't find many resources like Curragh and Buchanan where you fully permitted long life, you've put the capital in and now you can draw great return on it. The infrastructure built at both these mines by previous owners and then what we've built upon sets them up for long-term great life. And you can't be hindered. You don't have to go and get a third party's approval to do anything over a long term, which is great when you've got an Indian market that has been buying both products for 40 years and is constantly asking us for more. Every time we speak about Mammoth 2, we have offtake clients wanting to know how they can secure that. The business has been through a difficult period. The original strategy was buy the right assets, loosely hold them. We went on a strategy of investing in the business and setting it up for the future that the Board supported over the last couple of years. And in some ways, fixing the ills of the past, where you've got full draglines at Curragh, but the mine was totally boxed in by cell mining and made those highly unproductive, draglines are only moving 37% of the waste at a low point when we bought the assets. So it needed investment in a technical fix, which has been done. And the slide clearly demonstrate that, yes, we have historically peered over the fence and bought assets at the right time, and I think that may come back into the strategy. But at the near term, it's to show that what we have, we can make a lot more of, and we've demonstrated the discipline in the business of on time, on budget, well thought through, well-engineered projects and low capital and very quick payback that beats any multiple we can look at buying other assets at the moment. So people who are invested in this business can really go on a good journey with what's already there and the team can make more of. The management change, first talking to Jeff, Jeff has had a fantastic career of 50-odd years -- he's built other people's careers. I joke about it and so does Gerry, our founder saying, Jeff knows where resources are that other people want to still discover with the knowledge he has. But it's time for him to transition into retirement, and he's flagged that we're respecting that and enabling him. But he won't be leaving straight away. It will be a smooth transition into retirement. So that's very healthy and good for him and his family. For me, personally, I joined the business 4 years ago as Chief Operating Officer because I could see the potential in the business. And I was fortunate enough that the Board offered me the role of CEO. And I put a plan in place to the team that could drive productivity and drive the cost out and get the ever spiraling costs in the business that were just going up to get down, and we won the confidence to show that we had a way to get the cost down in the second cost quartile. It wouldn't be driven by cutting the bones of the business away, but we're actually investing in the business and driving productivity, and we invested in productivity initiatives. And I'm very proud, particularly last year under the team under trying circumstances, kept on focusing on that plan and have delivered that plan. And that same team stays in this business and will carry the business forward. Leadership change is natural. People add to things and then it's time for them to step out of the way and let other people take it forward. And that's the personal timing for me now. I feel like I've done the job. I made commitments to the Board. Those commitments have been honored by me, by the team. And I will allow somebody else to take it forward into the next journey of the business. But that core business that delivered this plan are the same people that can take the business going forward. So the leadership change should have minimal impact on that at all.
Robert Stein: That's good context because it does appear that you've been through the trough and it's now looking to come out the other side and you're not going to enjoy the fruits of the labor. So thank you for providing that context. In terms of, I guess, the capital intensity of that plan on Page 7 -- or sorry, Slide 7 of the presentation, the growth CapEx is pretty well outlined. The life extension CapEx, is that included in the sort of $150 million rate that Glyn asked about before?
Douglas Thompson: No, it's not. The focus for '26 really is sustaining capital. There's a little bit in there for degas, for Mammoth 2 and like some study work, but very little of it sustaining capital. Our focus this year, we've agreed with the Board and the team is we've just finished the Curragh major shutdown that went very successfully. That's going to enable additional throughput hours and yield out of that plant. So the step-up is now enabled in that plant. So the focus in the near term is going to be cash generation, deleveraging. And then when the market is right, we will look at then investing in the business again through Mammoth 2 and the Buchanan Plant Expansion.
Robert Stein: Sorry, maybe -- I mis asked the question. But if I think about Curragh Extension, Mammoth Phase 3, Curragh Extension 2, Curragh Extension 3, their life extension projects, which normally would be in a sort of a sustaining footprint, given the sort of $150 million rate per annum quoted before, can we expect the $150 million to include those life extension projects? Or is that incremental CapEx that we're going to have to forecast across sort of '28, '29, '30 for those projects going forward?
Douglas Thompson: Some of it will be incremental additional capital that you'll have to forecast. For example, if you're going to be building Mammoth it's buying additional fleet. So we'll buy 2 more continuous miners when that one comes online, another fan develop the drives of the portals. In further life expenditures, when we talk about some of the open pit extensions, there will be some box cut work that will not sit in that sustaining capital definition. At the right time, when those projects get greenlighted, we'll give more color on them.
Operator: And your next question comes from Nathan Martin from The Benchmark Company.
Nathan Martin: Douglas, I know you're going to be around to support the transition, but I want to take the opportunity to wish you the best of luck in your future endeavors. You guys talked previously about the recent wet weather in Queensland. How should we think about the impact from the severe cold and snow and ice in the U.S. on first quarter operations and all of these weather headwinds considered in full year guidance?
Douglas Thompson: Nathan, thank you. So the team over time have been very experienced, unfortunately, in Queensland in the last years, maybe 5 years with unpredictable weather and our cyclical and seasonal weather pattern planning. So we do take the 10-year weather average and then we break it down into a 5- and a 4-year pattern, and then we build in seasonal impacts in weather in the U.S. and in Australia, but it's been more impactful in Australia over the last couple of years with some of the significant events that have come through like the cyclone at the beginning of the year -- you just don't plan for those, but you take them over an average. So there might be a short-term impact. But then over time, your system can cope with it. To the team's credit, they managed the impact of the cyclone incredibly well at Curragh, very shortly thereafter, we were back up into -- in operations and running. I think like anybody in the Bowen Basin, there's a lot of water in pit at the moment because releases of site are fairly restricted. So the team are managing that, but we've got input dams, out of put dams and pumping systems to manage. We're all watching the weather system that is up north in Queensland, the low pressure that's moving across the country pretty closely at the moment. I think that would potentially have impact if as much rain falls in the Bowen Basin as forecasted with everybody having large volumes of water to, to manage already and been pretty saturated. But the system is equipped and pretty mature for that. The freeze in the United States at the moment, our operations in the Appalachians are underground. They're very experienced with that. We've had no significant impacts with the freeze this year-to-date in our operations, except for logistics. Rail providers have offered short-term force majeures where they've had coal freeze in carriages. Quite a few of the ports that get used on that side of the country don't have at port offload points. So the coal comes into port in carriage and it gets directly offloaded in a coal loader into ship. Some of the coal is frozen in carriage on way and to protect the coal loaders, they have stopped loading it. So there's been a backlog at port that's flowing back into the operations. That is now behind us at a short-term impact and coal is flowing back out again out of West Virginia.
Nathan Martin: Appreciate that color, Douglas. And then maybe just taking a step back and related, how should we think about the cadence of shipments as the year progresses? Obviously, we just touched on the weather, but also with the contracts -- remaining contracts at Logan expected to be filled, when will those wrap up? Just trying to get a sense of the cadence of shipments.
Douglas Thompson: Logan is some carryover contract and pricing from '25. So we will honor those probably through the first 6 months of the year. Most of those clients want that product all delivered in that period of time. There's some that goes into Canada that might trickle on through later into the year, but predominantly, that will be closed out in the first 6 months. The rest of it has got some seasonality in what happens with wet weather and boats being able to come off anchor and go to port into Queensland. So there has been a bit of a backlog going into port post cyclone, but most of that generally gets worked through pretty quickly. So you'll see probably quarter 2, quarter 3 out of Queensland, there will be a spike in shipments and then into quarter 4 preparing for the wet weather season that shipments will come off again. That's generally how the pattern happens. And our clients are asking for a very similar profile this year to what we've seen in the past.
Nathan Martin: Okay. Great. And then just maybe one final. Your full year mining cash cost per tonne guidance, $88 to $96 a tonne. What PLV price range are you guys assuming there?
Barend Van Der Merwe: Just to clarify that, Nathan, you say -- so that's the cost guidance. How does the PLV relate to the cost guidance?
Nathan Martin: Are there any variable costs, Barrie, tied to that range? Obviously, the Queensland royalties, I guess, hit up at the top. Just curious so.
Barend Van Der Merwe: Okay. Okay. So that's mining cash costs. So the royalties actually fall outside of that. So the pricing wouldn't have bearing on the cost behavior, Nathan. It's just mine cash cost that we've got in that number.
Nathan Martin: Okay. Got it. So I kind of answered my question. Then maybe just to the extent you can break it out, Barrie, I mean, what kind of mining cash cost per tonne assumptions are you guys incorporating for Curragh versus the U.S. business to get to that range?
Barend Van Der Merwe: Yes. I mean when you look at that cash cost, there's a couple of moving parts that you have to consider in there. There's FX, as I highlighted in the conversation in Australia is important. So we had kind of a $0.64 FX rate in FY '25. If you look at where the Australian dollar is trading currently, it's about $0.71. So there's something to consider there. And we've considered about the $0.68 average for the year. So FX will play into it. And then -- last year, we were still ramping up the Mammoth project. So there were some preproduction costs that we capitalize that won't recur that kind of comes into the cost equation. As I said, when I spoke about cash as well, we do need to put a bit of money back into Curragh and Buchanan for development. So that's gone in. That's kind of a USD 50 million number across the 2 complexes. A big slice of cost that comes out is Logan. So we've assumed, as Douglas said earlier in our guidance that Logan will be there for kind of Q1, maybe a bit longer. So you need to take the Logan box cost out of it and then add a bit of variable cost for the volume. And so that's kind of the moving parts when you look at it on a year-on-year basis, those are the things that kind of drive it. And then as is usual, and as I said in the first part of the presentation, we are running hard at managing costs across the business, but especially at Curragh, we've done a lot of work with the commercial team. We're recontracting some of that. And we'd expect the work we're doing on savings and improving commercial discipline to offset some of the inflationary pressures that we're seeing. So without kind of putting specific numbers to that, when you bridge the cost from 2025 to 2026, those are the big moving parts that you need to kind of traverse to get from 2025 to then that 88% to 96% that we're guiding.
Operator: [Operator Instructions] And the next question is from Fintan Collins from UBS.
Fintan Collins: Just a quick question on Logan. How do we think about its position in the portfolio going forward? Do we think it could attract strategic value from a U.S. operator with greater economies of scale? And in such a case, would the Board consider the monetization of the asset to accelerate deleveraging conversations being had in this respect? And I'll follow up with the second.
Douglas Thompson: All of the points you raised above are on the table at the moment and will be taken to the Board in due course for consideration. At the moment, the focus was on where is the market at, what can we mine to honor our contracts, let's do the right thing by our people and inform them of the decision-making and fortunate the market has brought us to. But we are exploring all the options above, but no decisions have been made at this stage.
Fintan Collins: Okay. And just on those leadership changes, could you provide a bit more context around the decision and timing? And how should we think about strategic continuity? And what's the current time line for recruiting a new CEO?
Douglas Thompson: Strategic continuity as the plan that we've delivered to the Board and this management team is a very tight team. So it's a plan that's collectively owned. So the fact that Jeff and I are stepping away from the business shouldn't impact the strategic direction of the business at all and the -- what we've laid out at this stage. The other help in it that we try to flag as well is at the moment, there is no conflict. But with the style of business we are and the way in which I like to operate is if a conflict does arise, particularly focusing on myself now, I'll make the Board aware of that straight away and then the Board will decide if they need me to step out of the way. And to catch that, we've got our founder Chairman, Gerry, who is obviously across everything in the business, who can step in at very short notice if required and keep continuity going. And likewise, the management team are rock solid will keep continuity going if that eventuates. So stability while we're going through this transition is key to us. And ideally, I'm around and I see it through. Recruiting, we always focus on succession planning and development within the business and then externally as well. So we haven't found ourselves flat-footed in this regard as well. But that needs to run a due process and be done well. And those things don't take 5 minutes, but they don't take a lot of time either. You can work through them very efficiently. And I'd say, fortunately, this is quite an attractive role. So we should be able to come back in due course and give everybody comfort that we've got the right people leading the business going forward.
Operator: That concludes the question-and-answer section of today's call. I'll now hand back to Douglas for closing remarks.
Douglas Thompson: I'd just like to say thank you to everybody for joining the call today. Hopefully, you can see that over time, we've had a plan. This is a business that has been very disciplined, engineering-led and executed a plan with steely focus on getting the long-term outcomes. And those long-term outcomes, the fruit is starting to show itself within the business, and there's clearly immense upside within the resources, but then also the people within the business. So thank you. And then if you do have any further questions, Chantelle is generally far more eloquent than Barrie and I in answering your questions. So please turn to her, and she'll help you with any further questions you do have and the rest of her team. Thank you.
Operator: That concludes today's call. You may now disconnect.